Operator: Ladies and gentlemen, thank you for standing by. My name is Abby, and I will be your conference operator today. At this time, I would like to welcome everyone to the Safe Harbor Financial Second Quarter 2024 Earnings Conference Call. [Operator Instructions]. Thank you. And I would now like to turn the conference over to Mr. Phil Carlson of KCSA. You may begin.
Phil Carlson: Hello, everyone, and welcome to the Second Quarter 2024 Earnings Conference Call for SHF Holdings, Inc. doing business as Safe Harbor Financial which we will refer to as Safe Harbor or the company throughout the duration of the presentation. Before we start, I would like to remind everyone that certain comments made on this call include forward-looking statements, which are subject to the safe harbor provision of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include statements with respect to the company's outlook and the company's expectations regarding its market opportunities and other financial operational matters. These forward-looking statements discussed on today's call is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements and reported results should not be considered as an indication of future performance. Additional information regarding these factors appears under the heading Risk Factors in the company's filings with the Securities and Exchange Commission, or the SEC, which are available at www.sec.gov and on our website at ir.shfinancial.org. The forward-looking statements on this call will speak only as of today's date, and the company undertakes no obligation to update or revise any of these statements. Also during the call, Safe Harbor will present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in our filed 10-Q as well as today's earnings press release, which you can find in the company's Investor Relations website or on the SEC website. All dollar amounts expressed today are in US currency. Presenting today will be Sundie Seefried, Chief Executive Officer; and Jim Dennedy, Chief Financial Officer of Safe Harbor. I will now turn the call over to Sundie. Sundie, please go ahead.
Sundie Seefried: Thank you, Phil, and welcome, everyone, to our second-quarter 2024 earnings call. During the second quarter of 2024, we continue to solidify Safe Harbor's position as a leading financial services provider for cannabis-related businesses, continuing to diversify our income streams, improve loan capacity and portfolio quality as well as enhance our product offering. For the past 10 years, we have shaped our financial services platform to change in response to the cannabis regulatory landscape. The results we achieved in quarter two demonstrate that our business model has allowed us to operate efficiently with an improved revenue mix and higher interest income. In particular, for the quarter, we generated positive net income and gross profit. We also reduced operating expenses by almost 84% compared to the same period last year. Also important to note, loan interest income for the second quarter 2024 was up approximately 204% year-over-year to approximately $1.8 million. Before Jim dives deeper into the financials, I want to recap some recent highlights. In June, we successfully announced additional lines of credit issued, originating $550,000 for three long-standing Colorado cannabis clients. This strategic move exemplifies our firm commitment to supporting the capital requirements of the cannabis industry and addresses the growing demand from small and midsized cannabis businesses, a segment often underserved by traditional financial institutions. Our program offers normalized non-creditor rates without required real estate collateral. We believe that this expansion of our lending platform could not only diversify our revenue streams but also strengthen our position as a financial services provider in the cannabis industry. By filling this gap in the market, we believe that we're driving growth, enhancing client relationships and solidifying Safe Harbor's market leadership. We anticipate this program will contribute positively to our bottom line while supporting the broader cannabis ecosystem. In July, we announced that we had successfully exited a $3.1 million defaulted loan, originated in 2021 and secured by Class A industrial real estate in Denver. The successful exit was facilitated by the property's strong fundamentals, demonstrating the strength of Safe Harbor's underwriting process. In exiting this loan, we recovered the full principal plus over $200,000 in accrued interest, which will be reinvested into lending and credit line capacity. This was the only nonperforming loan in the company's history and its full recovery validates Safe Harbor's balanced lending approach. In addition, the outcome improves our overall loan portfolio quality and increases our lending capacity. I would also like to address the possibility of cannabis reclassification which we believe would be a significant growth catalyst for the industry. Ahead of the July 22 deadline, we submitted comments to the Justice Department regarding the proposal to reclassify cannabis from Schedule 1 to Schedule 3 of the Controlled Substances Act. Over 42,000 comments were submitted with almost 93% of those comments in favor of changing cannabis schedule and 61% calling for a complete de-scheduling of cannabis, while the proposed page of rescheduled cannabis from Schedule 1 to Schedule 3 would legalize cannabis or alter BSA and AML compliance requirements. It would represent significant progress for the industry. The reclassification would likely alleviate tax burdens under Section 280E, potentially strengthening our clients' balance sheet and income statements. We anticipate this change would create a more favorable business environment, enabling expansion of services and new market opportunities. The prospect of rescheduling cannabis could help level the playing field for cannabis businesses. Without the constraints of 280E, the Internal Revenue Code Provision that prohibits businesses, viewing with Schedule 1 substances from writing off business expenses on their federal tax returns, these businesses would potentially be able to produce stronger financial returns increasing our ability to qualify them for more lending options, improve debt service coverage, and we believe increase our deposit balances. The benefits to the industry's financial strength rolled up to the favor of Safe Harbor. Importantly, this development underscores Safe Harbor's continued relevance in the Kansas financial services sector. Our first-mover status and deep industry expertise position us uniquely to capitalize on the evolving regulatory landscape. With the growth of the cannabis industry, we believe that the need for our unique service platform would increase considerably, and we would remain a crucial partner for cannabis and other high-risk banking businesses. We believe our creative and methodical approach in building the company's platform has enabled national business scaling. The platform's policies, training, monitoring and processes are all well established and supported by expert talent. We anticipate this combination of intellectual property plus human capital talent will provide a competitive advantage as we focus on continued growth. Looking ahead, Safe Harbor will continue to lead with lending and further commend our unique position in the cannabis financial services market. We are just one of a handful of financial service providers capable of providing CRB with access to compliant deposit tools and traditional lending. We remain committed to supporting the cannabis industry through regulatory change and as the regulation evolves, we are well-positioned to capitalize on these changes. With our unique service offerings and product suite, we believe new lending opportunities will continue to drive organic deposit growth. As we have seen traditional financial institutions are either unable or unwilling to replicate our business model due to its complexity and difficulty to execute. Certainly, our attention remains on growing the business with a focus on increasing our client deposit base attracting newly legalized markets continuing to seek exiting financial institutions and expand lending opportunities. With our ability to serve large MSOs in every legal market across the country, as well as our continued pursuit to roll out additional service offerings, we believe we are well-positioned for future growth. I'd now like to hand the call over to Jim to discuss our financial results for the quarter and six months ended June 30, 2024. Jim?
James Dennedy: Thank you, Sundie, and good afternoon, everyone. Our second quarter 2024 total revenue was $4 million, down approximately 12% from total revenue of $4.6 million in the comparable prior year period. And for the six months ending June 30, 2024, total revenue was $8.1 million, down approximately 7.6% from total revenue of $8.8 million in the comparable prior year period. The decrease in total revenue was driven by lower interest income and lower deposit activity and onboarding income, offset by substantially higher loan interest income. The number of active accounts and the aggregate deposit balances of the active account holders at the end of the quarter of 2024, were lower by approximately 33% versus the prior year period. Notwithstanding the fewer accounts and lower balances, the volume of account activity per account was higher in our second quarter of 2024 versus the comparable prior year period. Additionally, loan interest income was up by more than 204% in the period ending June 30, 2024, versus the prior year period. Moving down the income statement. Operating expenses in the second quarter of 2024 were approximately $3.7 million versus operating expenses in the second quarter of 2023 of $22.5 million. Recall that the company incurred significant impairment charges to goodwill and long-lived intangible assets in the second quarter of 2023. After removing these one-time noncash expenses, operating expenses for the second quarter of 2023 were $5.6 million. The lower operating expenses in the second quarter of 2024 versus the second quarter of 2023 were primarily attributable to lower stock compensation expense and lower consulting and professional services-related expenses. Consequently, net income reported in the second quarter of 2024 was $942,000 compared to a net loss of $17.6 million in the prior year period. And for the six months ending June 30, 2024, the company repeat net income of $3 million versus a net loss of $19 million in the same prior year period. When adjusting net income for interest, taxes and depreciation and amortization expense and further adjustments to exclude noncash, unusual and or infrequent costs, we compute in adjusted EBITDA, which management believes is a measure to evaluate our operating performance. A reconciliation of net income to adjusted EBITDA is provided in the press release and current report 8-K filed with the SEC earlier today. Adjusted EBITDA for the quarter ending June 30, 2021, was approximately $974,000 versus $850,000 in the comparable prior year period. And for the six months ending June 30, 2024, the company reported adjusted EBITDA of approximately $2.1 million versus $1.3 million for the first half of 2023. Moving to the balance sheet. As of June 30, 2024, the company reported cash and cash equivalents of $6.1 million compared to $4.9 million at December 31, 2023. Cash provided by operating activities through the second quarter of 2024 was $2.7 million versus cash used by operating activities of approximately $965,000 and in a comparable prior year period. This improvement was mainly due to previously cited lower operating expenses in 2024 versus the prior year period. Turning to our liquidity. The company reported a net working capital on June 30, 2024, of approximately $302,000 versus a net working capital deficit of $135,000 on December 31, 2023. Looking ahead to the balance of 2024, we expect to report full-year revenue for 2024 in the range of $17 million to $18 million and full-year adjusted EBITDA in the range of $3.75 million to $4.25 million. With that, I will now turn the call back to the operator to open the call for questions. Operator?
Operator: [Operator Instructions].
Unidentified Analyst:
Unidentified Company Paticipant: And with no questions at this time, I would actually like to turn the conference back over to Sundie Seefried for any additional or closing remarks.
Sundie Seefried: Thank you. I would like to thank you all for joining us on today's call and for your support for Safe Harbor Financial. We are grateful to our investors as we continue to grow our innovative financial services platform during this exciting time. I will now ask the operator to close the line.
Operator: And ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.